Hakon Rypern Volldal: Good morning from sunny Oslo. We are ready to present Nel's second quarter 2025 results. My name is Hakon Volldal. I am the CEO. With me today, I have our CFO, Kjell Christian Bjornsen; and our Head of IR and Communications, Wilhelm Flinder. We have the following agenda. I'll skip the Nel in brief section today. We will focus on the second quarter 2025 highlights. We'll have a commercial update, a technology update. And as usual, at the end, Q&A session. The quarterly highlights are as follows, we had revenue from contracts with customers of NOK 174 million. We had a negative EBITDA of NOK 86 million; order intake NOK, 71 million; order backlog ended at NOK 1.25 billion; and a cash balance at NOK 1.9 billion. Among the highlights in the second quarter, we -- our partners, Samsung E&A, launched its CompassH2 hydrogen plant solution with Nel Inside. Statkraft canceled, unfortunately, the 40-megawatt alkaline electrolyzer contract they signed back in 2022. And we also signed an MOU with HydePoint to codevelop modular hydrogen systems for offshore and nearshore environments. Looking at the group financials, we are more or less spot on analyst consensus for the quarter, deviations of 1% on most items. As I said, revenues from contracts with customers, down from NOK 332 million last year to NOK 174 million. The quarterly decline of 48% is largely driven by lower project activity in the alkaline segment and previously announced contract cancellations. EBITDA came in, in line with the last year mostly due to higher gross margin on products sold in the quarter and also reduced costs that we will get back to. EBIT ended at minus NOK 153 million; pretax income, minus NOK 132 million; net income, minus NOK 131 million. Cash flow from operating activities was minus NOK 53 million. Solid cash balance at the end of the quarter. If we decompose the group financials into our 2 segments, looking at alkaline financials. First, we see that both the first and second quarter had low revenues in comparison to our performance in 2024. In the second quarter, we had a few project milestones, bringing total revenues in at NOK 65 million. Despite that, EBITDA was minus NOK 26 million, a decrease of NOK 23 million compared to last year, but an improvement of NOK 26 million over the previous quarter. We have started cost reduction activities and also adjusted our capacity, and we did that in the first quarter. This is now starting to take effect and will reduce costs into the second half of 2025. For PEM, the story is a bit more positive. Revenue in line with the same quarter last year, mainly driven by sales and deliveries of containerized systems, increase of NOK 23 million over the previous quarter. EBITDA improved NOK 5 million compared to last year due to better gross margins on products sold. Overall, PEM products and project margins are improving on the back of more favorable contractual terms and conditions and also better execution with less rework, less quality issues and also fewer people involved in the delivery of our various projects. Order intake in the quarter was low at NOK 71 million compared to NOK 311 million in the first quarter; limited order intake on the alkaline side; better intake on the PEM side. Order backlog is now at NOK 1.25 billion. I would like to comment that a lot of the decline that you see here is due to the fact that we have taken out cancel contracts and revenues at risk. So the contracts where we previously included, the contract values and listed them as values at risk, that amount has come down by more than NOK 400 million compared to the first time we presented that table. I think it was the fourth quarter of '24. So a lot of cleaning up in the backlog, which means that the backlog that we have now is of higher quality than what we had in a year or a year ago. Cash burn rate is coming down. The cash burn rate, if we simplify it, it's basically the EBITDA plus CapEx investments. And we can see that in the first and second quarter of 2025, we are around minus NOK 120 million in the quarter, and that compares to quarters historically, where we have burned almost NOK 500 million. The reason for this is, of course, not that EBITDA has improved tremendously in 2025, but we no longer need to spend as much money as we did in the previous quarters on production line equipment and ramping up capacity. We have 1 gigawatt of production capacity at Herøya we have 0.5 gigawatt for PEM in the United States. Our need to invest further into additional production line equipment is limited. That means most of our investments today go into technology development. And we expect the cash burn rate to continue to develop favorably compared to previous years. We have already executed on a cost reduction program, and you now start to see it in the reported figures. We peaked at around 430 employees around the end of third quarter 2024. We were 361 employees at the end of the second quarter of 2025. And that number still includes some people that still are employed by Nel due to mandatory notice periods. We expect this number to continue downward. And that also means that our personnel expenses have started to decline. That, in combination with the halting production at Herøya will lead to a lower cost base in the second half compared to in the first half, in particular for the alkaline segment. Moving on to the commercial update. We will start with a short market perspective. Nel's pipeline of projects is large, and it is also increasing, but final investment decisions continue to be pushed out in time. We would like to say that the quality of the projects we are targeting and pursuing are or is higher than in the past due to stricter FID criteria. Several of our target projects are in the 20 to 200-megawatt range, and they are expected to take final investment decision in the next quarters. One important step towards reaching final investment decision is to conclude a FEED study. We are currently involved in 540- megawatt of paid FEED studies for large-scale electrolyzer systems. And some of our EPC partners are involved in additional studies for hundreds of megawatts. That, of course, is a good signal that we are moving towards FIDs in the coming quarters. If we combine that also with the improved clarity around U.S. regulations, that is helped -- expected to help demands and also improve market conditions going forward. And on that note, when we say that there is increased visibility around U.S. political regulations, it is related to the extended visibility and clarity on the 45V hydrogen tax credit. This is a production tax credit, which is now secured through the end of 2027. It means that projects that meet the commenced construction requirement by this date will be eligible for up to $3 per kilogram of hydrogen produced. Qualifying projects can claim the credit for a 10-year period once they are placed in service. What we still need a bit more clarifications on would be what does it specifically mean to commence construction. But we know that the tax credit allows for foreign equipment. The credit now enjoys a high degree of political stability with no foreseeable efforts to roll it back before 2028. Overall, this is a very positive development compared to some of the worst-case scenarios that analysts and media expected just a few weeks or months ago. This was a key highlight of the quarter. Samsung E&A, our EPC partner built the CompassH2 concept. It's a 100-megawatt full plant powered by Nel. As you can see on the picture, the Nel brick is the electrolyzer building with our equipment inside. The rest has been designed by Samsung to optimize the efficiency overall for the system to reduce and minimize footprint requirements to offer system- level performance guarantees, comprehensive engineering support and end-to-end solution offering. So this is a full blown hydrogen plant, consisting of 100 megawatts of electrolyzer capacity. This concept is marketed by Samsung worldwide. And we expect this to be highly attractive to customers that would like to have an end-to-end solution that do not have in-house competence or even if they have it, do not want to spend a lot of time and effort on building their own hydrogen plants, but rather buy something that is backed by performance guarantees. Performance guarantees that are trustworthy and credible because they're backed by a big balance sheet. So a very positive development for Nel and in line or in accordance with our strategy to focus on making the best electrolyzers in the world and partner with companies that can put together a complete package. Samsung is one example. Saipem is another example of Nel's EPC strategic partners. The technology update. This is what excites us these days, and it's because of the progress we are making. If we're honest, first- generation technology is definitely proven. It has been around for decades, and Nel has sold more than 7,000 electrolyzers globally to more than 80 markets around the world. But the levelized cost of hydrogen is still high. These figures are from McKinsey. There are numerous studies out there showing similar results. But if you look at even a large-scale project in the U.S. Gulf Coast, the cost per kilogram of hydrogen is around $5. The key cost driver is electricity followed by CapEx, not for the electrolyzer only, but for the entire project, operation and maintenance and financing costs. It amounts to $5. And if you look specifically at the CapEx portion, the USD 1.7 billion per kilogram, you can see the details on the right-hand side. We are around USD 2,000 per kilowatt for large-scale projects. And we're probably closer to $3,000 today per kilowatt for small projects. It's not due to the electrolysis system itself. From this analysis, you can see that the electrolyzer system is $750 out of the $1,800 to $2,200, but the electrolysis system dictates how much time and money you need to spend on materials, construction, engineering and other hardware equipment. And that's why the electrolyzer is key to solving this cost problem. Nel's approach to lowering or reducing the levelized cost of hydrogen is the following. When you look at OpEx, you need to improve the energy efficiency. The less energy you need to spend per kilogram of hydrogen produced, of course, the less electricity you need and the less money you spend on electricity. You also need to extend the operating range and you need to enable quick ramp up and ramp down because that allows customers to take advantage of periods when electricity prices are low. It means that you can produce most of your hydrogen during off-peak hours and maybe even turn the equipment off when electricity prices are high. To enable that, you, of course, also need low CapEx. If you intend to operate your system, let's say, 30%, 40%, 50% of the time, CapEx is even more critical when it comes to the levelized cost of hydrogen than what we saw on the previous page. And CapEx is actually more important than energy consumption. The way to reduce CapEx is, of course, to reduce the cost of the different modules. But we also believe that we need to enable outdoor operation with no building. The building itself can be extremely expensive. The building that will house all the electrolyzers and other equipment. If we can make that compliant with outdoor operation, we will save a lot of money. We need to standardize the equipment. We need to take out thousands and thousands of engineering hours needed to put together a hydrogen plant today. And we need to reduce the footprint, and we need to modularize to reduce the site work, the construction work, the thousands of hours going into putting the different bits and pieces together, testing it and commissioning it. That's our approach. We have looked in detail at the OpEx drivers and CapEx drivers for our future systems. And the one concept which is first in line is our next-generation pressurized alkaline system. I had presented this before, but just to do a quick recap. This is a 25-megawatt building block or a 10 tonne per day building block. And you can fit this into an area below 230 square meters. Everything is packaged inside 20-foot containers. Why? Well, it enables outdoor operation. It reduces shipping and logistics costs. And it also forces you to standardize the setup, meaning there's limited engineering involved. There is a limiting site work. You just connect these modules together. In the center of this setup, you have the process skid. This is where the gas is separated. So we have oxygen and you have hydrogen gas inside the process skids and you do various treatment of the gases. Feeding this process skids, you have 4 stack skids. So each stack skid, each 20-foot container, has a capacity of 6.25 megawatts. And on the outside, you have the power electronics. You have the transformers and you have the rectifiers. The beauty about this concept is that it reduces footprint by 80% compared to today's atmospheric solutions. Not only does that mean that your cost of land goes down, but the groundwork that you need to do, the site preparation, the civil work, the cabling, the piping, the concrete slabs, all of that work, all of that cost comes down. System CapEx comes down by 40% to 60%, compared to today's atmospheric alkaline solution, cost reduced, I should say, atmospheric alkaline solutions. So the standardization of the system and the 15 bar pressure enables the removal of several modules. It reduces the size of the modules. And due to our smart setup, we can reduce engineering and site work, as I said. So the total impact is a 40% to 60% reduction, taking us very close to less than $1,000 per kilowatt, which is the holy grail because below $1,000 per kilowatt, you are extremely cost competitive with green hydrogen. And finally, system energy consumption below 50-kilowatt hours per kilogram. So that's at least 10%, sometimes 20% to 30% improvement compared to existing systems on the market. That, of course, will reduce your electricity bill, your OpEx. But this setup helps you address both the CapEx portion of the equation and the OpEx portion. On the right-hand side, you see a live -- not a live, but you see a real picture because in Nel, we sell real products, not just PowerPoint concepts. This is the gas processing unit skids being installed at Herøya Industripark. We will validate this setup. We will put next to this our pressurized electrolyzer stacks. We will put in the already procured and secured transformer rectifier and validate the entire prototype during the third quarter. We will take FID on gigawatt production setup in Q3. Remember that this production line equipment is way cheaper per megawatt than what we have at Herøya today. It's mostly robotic assembly. And it's also, to a large extent, paid for by the EU grant that Nel received last year. We will validate a full 25-megawatt pilots in '26 together with the customer. We have an agreement with Norwegian Hydrogen to test this at Rjukan for the project they are planning there. We will launch this as a commercial product and start to sell it and deliver the first units next year, and we will deliver at scale. And what does that mean? Well, it means hundreds of megawatts in 2027. But it's not only that platform we are progressing. You could argue that today's solutions are high CapEx, high OpEx solutions with the atmospheric alkaline system being one example or the -- today's PEM platforms. With the pressurized alkaline system, we developed a low OpEx medium to low CapEx solution. But ultimately, what we want to have is a super low CapEx, super low OpEx solution. And one such solution could be our next-generation PEM stack. This is, as we have commented on earlier, products we are developing in collaboration with General Motors, leaning on their vast experience in fuel cell technology. And it excites me to see that we are now really making big steps forward on the technology. We have 140% higher capacity on the same footprint. The factor is 2.4. On the left-hand side, you see a 1.25-megawatt stack. On the right-hand side, you see a 3-plus megawatt stack. They have the same footprint. Stack CapEx reduction is 70% compared to today's PEM stack. That's a big, big saving for the component. That is the key cost driver for any PEM system. Whereas an alkaline system consists of different parts and modules and the stack is just 1 out of many, many modules and not always the key cost driver for a PEM system, the stack is indeed the most important cost driver. To achieve a 70% reduction on that module is a gigantic step forward. And the stack energy consumption will be below 48-kilowatt hours per kilogram and paralleled in the market. All this will make a new PEM system from Nel a low CapEx, low OpEx concept. And it's not only a concept anymore because we have passed a key design review that has allowed us to verify the initial cost estimate that we have. We have now a stack based on real quotes for real components from suppliers. We have started to put together a real stack with real components, and we have initiated procurement of full-scale prototype components. We will continue to invest in test infrastructure and full-scale test stands to stimulate varying duty cycles because we don't want to release this product and as we know for sure that it will also have the durability that we needed to have. We have started, as I said, to build small stacks, put them together timing-wise. This product is probably 1 year behind the pressurized alkaline concept. But with a fantastic potential when we launch it and industrialize it. As I said, it could be the low CapEx, low OpEx solution that is needed to unlock the potential in Europe and several other regions to develop green hydrogen projects profitably. That's what I had prepared or we have prepared for today. As I said, the numbers are in line with analyst consensus, of course, impacted by previously announced order cancellations and postponements, but we continue to make great progress with our new technology and we'll be ready to offer solutions that are unparalleled, and I would say, unique in the market when it comes back. I will be joined by our CFO, Kjell Christian Bjornsen, shortly to answer your questions. But before that, Wilhelm, maybe you want to repeat the rules of engagement for the Q&A session.
Wilhelm Flinder: Thank you, Hakon. [Operator Instructions] If we have time, we will also take written questions submitted through the Q&A function. And if there are questions we don't have time to answer, please reach out to us on ir@nelhydrogen.com. And as a reminder from previous quarterly presentations, we will not comment on outlook specific targets, detailed terms and conditions on specific contracts as well as questions on specific markets. Modeling questions, we would also appreciate, is taken offline. To that, we're going to kick off with Elliott Geoffrey Peter Jones [indiscernible].
Elliott Geoffrey Peter Jones: No, just quick one on the order intake. Obviously, that was a bit lower this quarter. Given the clarity that you've seen from the U.S. now, what are you hearing from customers? Are they already getting excited about it and moving forward? Or are you expecting this to kind of be more order intake to pick up maybe at the end of the year, beginning of 2026? And on that note, with these orders, are you -- with the lead times, are you still expecting these lead times to be kind of 9 months to a year with regards to getting the order and then seeing that come into the revenue item, the revenue line item? Or is it longer than that now or shorter? Just any kind of color on those 2 things would be great.
Hakon Rypern Volldal: Yes. I think the clarity that we see around the 45V regulations will not lead to short-term order intake, but it will help some of the projects that have already been matured for a long time and maybe been put aside to get back on track, and potentially over the coming quarters, lead to new orders from North America. I would say the projects that will drive order intake in the coming quarters would predominantly be in Europe and, to some extent, in the Middle East, projects that have been active for a long, long period of time that we have worked with clients on to mature for 1 year, 2 years, and that we have completed FEED studies on. So the 45V regulations help in terms of future order intake from North America, but it won't impact order intake in the coming, let's say, 1, 2 quarters.
Elliott Geoffrey Peter Jones: And then sorry, one follow-up. On the -- on that side of things, are you still seeing PEM as the kind of technology of choice with these customers? Or these orders that you're talking about or these projects you're talking about, are they alkaline?
Hakon Rypern Volldal: Anything up to 20 megawatts, I think, would fit PEM. Anything above 20 megawatts would typically, at least from Nel's side, be alkaline technology. The large-scale orders we talk about for FEED studies, et cetera, are alkaline projects and some of the small to midsized projects are PEM projects.
Elliott Geoffrey Peter Jones: Got it. Sorry. And then -- but when we were talking -- when you're talking about in Europe now you're seeing potential in Europe, is that more -- are you seeing customers more looking at the PEM side of things or the alkaline side of things?
Hakon Rypern Volldal: So again, if they want -- if they're looking for 10, 20, 30 megawatts, they're typically looking for PEM. If they want anything larger than that, they will look at alkaline.
Wilhelm Flinder: Next in line, Daniel Vårdal Haugland, I see you also have some written questions, but I assume you take all those questions as well.
Daniel Vårdal Haugland: Yes. I'm going to start that with one question, and then I can get back in the queue. I see the other OpEx has been running at quite significantly lower levels in both Q1 and Q2 versus last year. And I think in Q2, it's down 25% year-over-year. So I was wondering, can you comment on whether this is kind of the new running OpEx now with Herøya shutdown? Or is there any kind of other effects at play, which we should also think about here?
Kjell Christian Bjornsen: So let me first start by advertising for the notes to the annual report, which may sound like a boring document, but it's actually quite interesting. If you look at the breakdown there, you will get really good insight into what really goes in there. And as you said, there are multiple effects at play. So for the first one, we have been relatively brutal when it comes to consulting costs, external spend on hired in employees, et cetera, et cetera. So there, there's been a definite effect where we have taken down cost. We still need to do some for the legal part. On some of the other buckets as well like utilities, of course, there's a shutdown effect of Herøya. So it is -- part of it is ongoing cost basis lower. The things that could come a bit back up again as the things related to R&D and to work done at subsuppliers. So for example, if we deliver a containerized PEM system, we do have a subsupplier doing the containerization. And then the cost in that bucket will be matched with the revenue. The same when we do, typically do grant-based research. The grant-based research will have external components, then we get the grant funding at approximately at the same time. So yes, lower run rate but it could be bumped up in certain quarters based on activity on either R&D or on specific projects.
Daniel Vårdal Haugland: Okay. Just a quick follow-up on you mentioned the PEM containerization, subsuppliers, et cetera. So that's booked under other OpEx, kind of under raw materials?
Kjell Christian Bjornsen: Yes, it depends on the project by project definition, yes.
Wilhelm Flinder: Next question comes from Arthur Sitbon.
Arthur Sitbon: Yes. It's mainly on the -- what happened on the U.S. clean energy policy. So you were flagging the development on the clean hydrogen production tax credit. I was wondering, in particular, what do you expect to be the -- you made a short comment on it in the presentation, but maybe you can provide a bit more color on what you expect the conditions to be around the safe harboring. And I think you mentioned that it would be a financial criteria. Maybe if you can provide a bit more color on that and how it would -- how the administration thinks about it in the context as well of the executive order that they put for wind and solar, that would be quite helpful.
Hakon Rypern Volldal: Yes. We don't know too much about the specifics. And by that, I mean, what does it take to say that you have completed construction or that you have started construction. And we assume that even if the interpretation would be that you need to purchase all the electrolyzers, in terms of a total system CapEx, you might then commit to, let's say, you're using electrolyzers to build a fertilizer plant or you plan to export green ammonia because, let's face it, domestic demand in North America is not going to be huge. It's going to be mostly for export markets and specifically Asia. You don't export green hydrogen in compressed form. You typically convert it to ammonia or methanol or you can even sell e-methane, some kind of a synthetic compound. And for that, you need not just the hydrogen part, but you also need a downstream plant, the methanol plant or the ammonia plant. And then the electrolyzer itself might be 10% of your total CapEx. So customers we have spoken to are not that afraid about the capital commitment going into electrolyzers if the interpretation is that you need to have purchased all of your electrolyzers to still qualify for the $3 per kilogram. So that's one thing, but we're waiting on that. And there are numerous law firms in the U.S. digging into what exactly is meant by this. Another thing is, of course, the requirements around additionality. We need to see more details on what kind of additionality and from when, from today or from project started back in '22, '23. So there are numerous things that are not 100% clear, but what is clear is that the financial commitment to $3 per kilogram for 10 years that stands. And I think it's fair to say that with the current administration passing this piece of legislation, and I -- we don't see a big risk in this being bordered out or diluted or in any way changed. To be fair, there are bigger fish to fry and not that many people that care about the 45V regulation for hydrogen, specifically. And I would also like to say that the reason we got this extended from the initial proposal to say that everything had to be done by the end of this year, otherwise, you would lose any funding opportunity, the reason we got that extended till end of '27 was because of the effort of, of course, the industry as a whole, but it was also separately through by Republican senators that see green hydrogen as vital to creating jobs and opportunities in their respective states. So it wasn't just lobbying from the industry, it was actually carried forward by Republican senators from key states.
Wilhelm Flinder: Next in line is Skye Landon.
Skye Wreford Landon: Question on alkaline order outlook. I'm just wondering how should we think about new orders in the alkaline business between now and when the new pressurized solution comes to market? Are you seeing continued interest in the existing products? Or are your customers perhaps less time concerned and therefore, happy to wait for the newer product in order to take advantage of smaller footprints, lower CapEx and improved energy consumption? And then a follow-up to your discussion on the pressurized alkaline. You mentioned that overall system CapEx would be down 40% to 60% with the new technology. But could you give any direction as to what the electrolyzer cost change could be within that?
Hakon Rypern Volldal: Yes. For projects that have been developed for, let's say, 2 to 3 years, it is -- I mean, they don't want to wait another 2 to 3 years for new technology. They know that new technology will come out all the time, but they need to get started. They might have offtake commitments, they might have commitments related to time lines based on grants that they receive from the European Union or national governments. There are a number of projects that we are working on where customers know that new and better technology will come out, but they can still realize their projects and have a profitable business case based on what we offer today. I would say, there are at least 20 projects we're working on where PEM and atmospheric alkaline based on today's platforms will be the preferred technology because of timing constraints. If you have project developers that are more opportunistic or you have clients that might use the hydrogen for their own purposes, i.e., they will be their own offtaker. They have, of course, the opportunity to wait a bit longer and take advantage of the new technology that comes out. So I don't see that the new technology would cannibalize our existing offering. It just meets a different time window. And that's why we talk about it. Otherwise, it would be a bit stupid to stand here and talk about the next great things if we would then take away the opportunities in the next quarters. But I think it's also important to say that a lot of projects will not be developed as gigawatt projects from day 1, they will be developed in stages. Customers might start with something a bit smaller. And then evolve capacity over time and to then work with a partner like Nel that has something you can start with today, but also gives you the opportunity to take advantage of new embedded technology as time moves on, is important because that means we can be a good partner for you during the duration of the entire project and not just an opportunistic seller of alkaline and PEM projects or technology today. Your second question was about...
Skye Wreford Landon: The development of the electrolyzer cost itself.
Hakon Rypern Volldal: Yes. In fact, the pressurized alkaline stack will be more expensive on a U.S. dollar per kilowatt basis than the current atmospheric stack. Nothing can beat an atmospheric alkaline stack. The problem with the atmospheric alkaline stack or the challenge is that because of the low pressure, you need extra modules around the stack that you don't necessarily need when the stack itself generates gas at 15 bar pressure. And also the system layout and the fact that everything is put into 20-foot containers reduces all the other cost components. So it's not a cost reduction on the stack itself, it's the reduction of all the other cost elements. And I would say if you take a project today in Europe, where the total project cost is between $2,000 to $3,000 per kilowatt, half of that is ours. Half of that is engineering hours, construction hours, test hours to get the system up and running. And that's the whole philosophy behind this that it starts with the electrolyzer system. If you can design that in a smarter way, you can remove all these other, I would say, nonvalue-adding components. And that's why, we, as Nel, had to take a key learning. It's not about delivering the cheaper stack because that we already do, it's about securing the lowest possible CapEx. Total CapEx for the customer, that's what matters, not just what arrives in a box from Nel. So that's a different philosophy, a different approach, which we have taken for the next-generation solutions to try to optimize the customer business case, the customer use case and not just what we send out of our factory.
Wilhelm Flinder: We see that we need to wrap up somewhat early. We have 2 more questions in the line. So if we can have 2 swift questions and 2 swift answers, that would be great. Daniel Haugland, please go ahead.
Daniel Vårdal Haugland: Yes. Quick question on kind of the backlog and plant delivery for 2025. Is it possible to say anything about kind of the split in Q3 versus Q4? Will kind of most of it in Q4? I see, for example, at that the alkaline backlog planned for delivery in 2025 has increased versus the last quarter.
Kjell Christian Bjornsen: Yes. So to that question, and it's a good pickup. We do look at each individual project before in every quarterly release and then make our best assessment as to delivery. So what has happened is that a few of the deliveries that we thought might slip into next year have now come in towards the end of quarter 4. There is substantial volume that we hope to get out during the third quarter as well. But the release is something that we hope to get in quarter 4, but it could slip into quarter 1. And here, we will not be optimizing our financials just to get something out. This is an estimate, not a firm guidance on what it is. So I would say there's a meaningful volumes in quarter 3 and quarter 4 as we currently see it evolved.
Wilhelm Flinder: Arthur Sitbon, please go ahead.
Arthur Sitbon: Now my last question was just on the recent results of the second hydrogen bank auction in the European Union. I was wondering if you are potentially involved in any project. And also if you have some thoughts on the awarded premium, which I think was not too different from the first auction. I was wondering if that's good enough to incentivize projects and make them economically viable.
Hakon Rypern Volldal: To the second part of that question, I don't think EUR 0.50 per kilogram is sufficient to make a project attractive. It's more icing on the cake, I would say. It plays to the advantage of projects that are already good projects. It doesn't help take projects that are borderline profitable and make them profitable. So that's sort of my perspective or take on it. I don't think the auction mechanism that we have today is what really will unleash production capacity for green hydrogen at lower cost. But it is a helpful tool. It creates more clarity and speed for projects that seem to be good projects. But as I said, they have to be good projects from the start. We are, of course, actively following up all of these projects. None of the projects needed to basically have a firm written agreement with any electrolyzer OEM. They needed to have an LOI. LOIs are always agreements that you can walk away from. They don't give you any certainty. So we are definitely out there hunting for new opportunities, but we also are working with customers for a long time that did get money through the second hydrogen bank auction. So I would say this helps our pipeline in terms of creating more clarity and better business cases for some of our target projects.
Wilhelm Flinder: Okay. We're going to squeeze in one last one from Skye Landon. And following that question, I'll let management end the call with any final remarks.
Skye Wreford Landon: Yes. Just a quick one. We've seen a number of electrolyzer OEMs go into administration recently, and we've seen several of your competitors kind of taken up some of their assets. Just wondering, if you looked at the assets and if you had any thoughts on the technologies and how they could have complemented your own staff? Or if you -- it just was not something that was required?
Kjell Christian Bjornsen: So this is something we've been expecting for some time. Some of the companies that are currently going out of the competitive landscape have been offered to us and others on multiple occasions. And we would have a bid in if there was something that really added something to the portfolio. So of course, we do keep our eyes and ears open. We've picked up some smaller pieces of equipment here and there, but so far not been interested in any of the technology portfolios that have been offered.
Skye Wreford Landon: And can you comment if you've been offered other parts of equipment or parts of businesses on the market outside of the 2 that have gone kind of into administration?
Kjell Christian Bjornsen: Well, those are the public ones. So my comment relates to the full space. There's lots of smaller companies out there. There's -- I think we've previously shown some slides of more than 100 logos. And there are lots of those that are currently ramping down or quietly exiting the business or deprioritizing this. Also in adjacent industries like fuel cells, there's been a number of companies that have gone out of business. So if you want a lab equipment or a production equipment, now is a very good time to pick up some pieces that you might have had on your wish list.
Hakon Rypern Volldal: Okay. Summing up. I think we wrote in our press release that it hasn't been a quiet quarter despite lower revenues. I mean, activity level is high. We have to be honest and say that '25 will not be what we thought it would be back in '22, '23. Order intake is slower. The market develops more slowly than expected some time ago. But we remain confident that what we are working on will indeed unlock a lot of potential in the coming years. And that's what our main priority is. Our 2 main priorities are linked together. One is we need to reduce the cost and preserve cash. We are adamant about protecting our cash base. As opposed to the companies that go bankrupt these days, we have NOK 2 billion in cash reserves. And the reason we went out and raised that money was to ensure that we had flexibility even in a period of downturn to invest into the things that we feel is right. What we feel is right is not building more capacity. What we feel is right is developing new technologies with a significantly lower levelized cost of hydrogen for our customers. And as I have shown today, we believe that both the pressurized alkaline concept and the new PEM concept will substantially improve business cases around the world for hydrogen and unlock opportunities to develop hydrogen at $3 to $4 per kilogram short term with the energy prices that we see now. And that's competitive with gray hydrogen or at the premium, that is acceptable to a lot of developers and customers. So we remain bullish about the long-term outlook. We are a bit more careful with the short-term outlook because we see that FIDs slip. We're not confident that there will be big orders coming in necessarily the third quarter or the fourth quarter. We're not able to pinpoint exactly which orders will come when. What we can see is that our pipeline continues to mature. We are working with high- quality customers on business cases that are much more bankable than they were a couple of years ago, and we are confident those opportunities over time will turn into new orders and higher activity. And when we come out with the new technologies, we believe that we will be in a unique position to capture a higher market share and also unlock growth in the overall hydrogen market. So that's why we're still here, Kjell Christian to unlock those opportunities even though numbers in the quarter were a bit on the low side. Thank you.